Operator: Good morning, ladies and gentlemen. Thank you for standing by and welcome to the Colabor’s Third Quarter 2020 Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] I will refer you to the forward-looking statements in the accompanying presentation available on the company’s website. This call is only open to analysts. I would now like to turn the conference over to your speaker today, Louis Frenette, President and CEO. Please go ahead sir.
Louis Frenette: Good morning, everyone and welcome to Colabor’s Group 2020 third quarter results conference call. This is Louis Frenette, President and Chief Executive Officer. Last evening, we released our earnings results for the 12 and 36-week period ended September 5, 2020. The press release and disclosure documents can be found on our website at www.sedar.com. I am joined today by Marie-France Laberge, our Corporate Controller and Interim Chief Financial Officer. It has already been over 6 months since we started dealing with the onset of the COVID-19 pandemic. I would like to reiterate once again how proud I am of all of our employees who have stood up to the challenge and continue to work tirelessly to help Colabor and our customers navigate these unprecedented times. Given the current context, we are very pleased with our financial results for the third quarter and year-to-date. Our profitability is up, our balance sheet is stronger and we are now in the best position we have been in many years. At the start of our third quarter, the government of Quebec started easing restrictive measures, which allowed restaurants and gradually reopened their dine-in operations across the province. Interregional travel restrictions were also lifted, which helped the tourist industry, particularly outside of the large metropolitan areas. Our wide geographical reach within the province positioned us well to capture some of this momentum during the summer months. Our diversified customer base also continued to serve us well. We serve a variety of retail and institutional clients, such as hospital, long-term care center, military-based food banks and other not-for-profit organization. In the second and third quarter, we further broadened our diversification and adding new retail and institutional relationship, which have allowed us to continue capturing food spending. On the revenue front, although our consolidated sales were down by 27.1% or $45 million, we estimated that only approximately 10% came from the effect of COVID-19 pandemic. The balance of the variance comes from the effect of the historical contract loss in our specialty distribution activity from our decision to stop serving non-profitable contracts and lower intercompany sales, mainly resulting from divestiture of our Ontario activities. On the profitability front, the transformation initiative that we started deploying over the last 2 years and cost mitigation measure quickly implemented at the start of the pandemic, including the support of the Canadian Emergency Wage Subsidy, supported higher operating profitability in the third quarter. Higher cash flow from operations and proceeds from the sales of the Ontario division has allowed us to reimburse debt and improve our leverage ratio. As a reminder, the Ontario division had an annual adjusted EBITDA rise of approximately $8 million and of about $2 million in the third quarter of last year. Together with various cash preservation measures and our continued eligibility to the Canadian Emergency Wage Subsidy, we are in a good financial position. As we stand today and for the entire month of October, the government of Quebec is requiring that all restaurants located in maximum alert zones closed their dine-in operation. As we stand today, the major affects areas are located around Greater Montreal, Quebec City and some other areas. The situation is constantly evolving and we do not yet know if these restrictions will be reinstated when they come due at the end of October. As we are entering the second wave, we believe that restaurants and consumers have adapted to dine-out option and this will not bring us back to where we were during the first wave. I also remain confident that we have demonstrated the resiliency of our team, of our diversified business model and of our ability to manage through the crisis. We are also stronger from our COVID lessons learned. We have a more resilient supply chain. Many of our restaurants customers have now had the takeout and delivery option. We developed new retail and institutional relationship and we implemented new and more rigorous health and safety measures. As our third quarter results show, we have adapted and became more agile. We are also pursuing the transformation of Colabor by working to further improve the efficiency of our network, create synergy, adapt our offering, and even grow in key markets. We remain focused on navigating through this new environment and continuing to raise profitability, all while keeping our employees, customers and the community safe. With this, Marie-France, I turn the call over to you for a review of the financial results.
Marie-France Laberge: Thank you and good morning everyone. I am pleased to be here with you today to review our financial results for the third quarter of fiscal 2020. Consolidated sales from continued activities were down 27.1% to $120.9 million. Sales in the distribution segment decreased by 33.5% to $81.7 million and in the end, it’s explained by the specialty distribution activity down by $23.7 million from the end of the distribution contract, which represented $18 million in the equivalent quarter of last year and from lower volume related to the COVID-19 pandemic during the entire duration of the quarter. It’s also explained by our broad line distribution sales down by $17.4 million from our earlier decision to stop serving non-profitable contract in the fourth quarter of 2019, which represented $9 million in the equivalent quarter of last year and from lower volume of sales from our restaurant and institutional customers in the context of the COVID-19 pandemic. This was mitigated by an increase in retail and institutional sales from current and new customers on-boarding in the second and third quarters of 2020. Sales in the wholesale segment decreased by 10.5% to $50.8 million mainly from the effect of the pandemic and from lower inter-segment resulting from the sale of our Ontario division. Adjusted EBITDA from continuing operations reached $10.4 million or 8.4% of sales compared with $8.5 million or 5.1% in the third quarter of last year. The improvement in margin comes from the decision to stop serving less profitable contract efficiency measures, the adoption of IFRS 16, which reduced rent expenses by $2 million, a reduction of salary expenses and a $0.9 million contribution from the Canadian Emergency Wage Subsidy. This was mitigated by the lower volume of sales experienced during the quarter and the favorable reversal over provision of $0.2 million taken in the third quarter of last year. When we move in the effect of the adoption of IFRS 16 on our 2020 Q3 EBITDA of the Canadian Emergency Wage Subsidy and adjusting for the positive effect of the $0.2 provision reversal or adjusted EBITDA as a percentage of sales stands at 5.8% compared with 5.1% last year. Net earnings from continuing operation was $3.4 million or $0.03 per share, down from net earnings of $3.7 million or $0.0 per share in the corresponding quarter of 2019. This result from higher depreciation charge and income taxes mitigated by higher adjusted EBITDA and lower financing charge. Net earnings were $1.8 million or $0.02 per share compared to net earnings of $1.7 million or $0.02 per share in Q3 2019. The slight improvement is attributable to the above explained items into a reduction of $0.3 million and the loss from discontinued activities. Cash flows from operating activities amounted to $17.2 million in Q3, 2020 down from $18.6 million in the equivalent quarter of 2019. This decrease is mainly due to our higher use of working capital mitigated by the effect of IFRS 16 and increase in adjusted EBITDA. As of September 5, 2020, our net debt, including the convertible debentures and bank indebtedness amounted to $56.2 million compared to $68.2 million at the end of fiscal 2019. Higher cash flows since the start of the year from operating activities and from the proceeds of the sale of the Ontario division were used to reimburse a portion of the debt. Our financial leverage ratio now stands at 1.9x versus 2.5x in fiscal 2019. By excluding the effect of IFRS 16, our leverage ratio stands at 2.4x, which includes the convertible debentures. As these numbers demonstrate, Colabor remains in a good position financially. At the end of the third quarter of 2020, we have $15 million outstanding on our subordinated debt, which was extended in Q2 and now is due on February 15, 2022. Our banking facility was also extended in Q2 and now due in October 2021 remain unused and on which we have $40.6 million of available borrowing capacity. Although the pandemic will continue to have an impact on our sales in short-term adjusted EBITDA, we do not expect this situation to have a material impact on our available liquidity. I will now like to turn the call over to the operator for Q&A period.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Kyle McPhee with Cormark Securities. Please go ahead.
Kyle McPhee: Hi, guys. Thanks for taking my questions. Starting on the revenue line specifically, the moving parts feeding that year-over-year revenue change, I just wanted to confirm a couple of things. So first, on the specialized distribution contract elimination that has been hitting the year-over-year trend, will that be fully lapped after one more quarter, so allowing your revenue line to look far more stable entering 2021 all else equal or is that year-over-year dynamic from that specialty distribution contract extend into next year?
Marie-France Laberge: Okay. The contract has been terminated in February 2020 so we will continue to see an impact until the Q1 ‘21.
Kyle McPhee: Got it, okay. Okay, and then similar question on the revenue line that the broad line volume that you have been choosing to cut out, the lower margin stuff you have been getting rid of, is that cleanup process now largely done at Colabor so that year-over-year dynamic will also finally be lapped exiting this year?
Louis Frenette: Okay. Yes, well, that’s very helpful and we stopped those contracts at the end of 2019 and that effect is going to continue. So that could be the reason why the margin is better, the margins are better also in our day-to-day operations, we look at productivity making some synergies and we work on the variable costs. So this is our day to day job to do this. So it is fair to continue.
Kyle McPhee: Okay, so when you say it will continue, does that mean we will see more significant kind of volume cutouts that will take your margins higher or?
Louis Frenette: No, no, no, no.
Kyle McPhee: Or can you confirm that process is largely done?
Louis Frenette: Yes, sorry. Yes, that process is largely done. And of course we look at all of our contracts and pay attention to them and try to add them positive. 
Kyle McPhee: Got it. Okay, that’s helpful and then moving over to the gross margin line. So you have obviously seen some nice gross margin percentage pick up in recent quarters, versus what we saw last year. So that’s obviously related to getting rid of the lower margin stuff, and getting rid of Ontario. But the gross margin took another big jump higher this quarter, to 17.8%. And I am just hoping you can offer some color on what we should expect going forward is it reasonable to expect you hold gross margin in the 17% to 18% range or it is kind of your first half results in the 16% range more reasonable going forward? Any color there would be appreciated?
Louis Frenette: Well, I don’t want to give much color. But the idea is that we work on our gross margin, and in our business development that it improves, and we add the better, product mix during the period favorable that helped the margin. And our customer mix. Also is helping so this should continue.
Kyle McPhee: Got it. Okay. And then moving on to COVID it, it looks like the COVID impact on volume was much lower in Q3 versus what we saw in Q2. And that makes sense, given the restaurants were reopened for most of Q3. I am wondering, now, can you offer any color on what you are seeing in Q4, so far as the restaurant channel has been forced to re-close, as you mentioned, is that Q4 drag that you are seeing, similar to what you saw in Q2, when things were closed for most of the quarter or is the drag now not as bad given everyone seems to be more prepared this time around with things like delivery and takeout?
Louis Frenette: That’s a good question. And hopefully not what happened in Q2 was the total economy shut down at one point in time, and there was very little restaurants that were offering takeout or home delivery service at the beginning of the pandemic, and over time until reopened on June 15. Overtime, the restaurant adapted and adjusted with takeout and home delivery service. So what happened in the second wave is that the day after it was announced, they were already up and running most of them with what they add at the end of the first wave of the pandemic. So it should not be the same. It should not be as drastic as it was. And great majority of restaurants are being opened with that system. And they were all installed. They were equipped to do takeout and home delivery. So they had that big practice and in the first wave of Q2, yes.
Kyle McPhee: Got it. That’s helpful. And is it fair to say that you now have these new - are there more of these new retail and institutional clients versus what you had in Q2 to offset this restaurant hit?
Louis Frenette: Yes, we have some of the some of those retail customers that stayed with us in Q3. So we counted that as new customers and will continue to serve them about institutional business, where we are looking in our day to day job is to gain new customers and that’s helpful.
Kyle McPhee: Got it, okay. Thanks for that color. And then last question for me on CapEx, can you offer any guidance going forward on what does a normal maintenance CapEx year look like to you what we should expect in a year like 2021?
Marie-France Laberge: Yes, for the first part of the year, we have at this point $1.3 million of CapEx, we expect to have another $1.5 million and for the rest of the year, so first of all around $3 million this year. With the COVID, we clearly postponed some projects. We are actually revisiting the project for 2021. So, normally we should expect to have higher CapEx next year.
Kyle McPhee: Got it, okay. That’s all the questions for me. Thank you very much.
Louis Frenette: Thank you.
Marie-France Laberge: Thank you.
Operator: And there are no further questions at this time. I will turn the call back over to the presenters for closing remarks.
Louis Frenette: Thank you, Judy and thanks Kyle for your questions. As I said in my opening remarks, we are very happy with our performance this quarter and especially with our ability to efficiently manage both our operations and financial situation through the unprecedented situation. In this current context, we were able to improve our profitability, generate significant cash flow, reimburse debt and strengthen our balance sheet. We are now in the best situation that we have been in many years. Looking ahead we remain committed to pursuing the transformation of Colabor. By focusing on our broad line distribution activities and Quebec, delivering efficiencies and improving our employer brand. We are grateful to be able to continue to count on dedication and hard work of our employees and the support from the labor union, all financial partners, shareholders, our customers, and our suppliers. This concludes our call for the third quarter of 2020. Thank you very much for joining us. Be safe and healthy.
Operator: This concludes today’s conference call. You may now disconnect.